Operator: Greetings, and welcome to the DarioHealth Second Quarter 2018 Earnings Conference Call. Hosting the call today are Erez Raphael, Chief Executive Officer; and Zvi Ben-David, Chief Financial Officer. Before I turn the call over to management, I’d like to remind everyone that this conference call may contain projections or other forward-looking statements regarding future events or the future performance of the company. DarioHealth does not assume any obligation to update that information. Actual events or results may differ materially from those projected as a result of changing market trends, reduced demand, and the competitive nature of DarioHealth's industry, as well as other risks identified in the documents filed by the company to the Securities and Exchange Commission. In addition, certain non-GAAP financial measures will be discussed during this call. These non-GAAP measures are used by management to make strategic decisions, forecast future results, and evaluate the company's current performance. Management believes the presentation of these non-GAAP financial measures is useful to investors understanding and assessment of the company's ongoing core operations and prospects for the future. And with that, I'd like to now introduce Erez Raphael, Chief Executive Officer of DarioHealth. Mr. Raphael?
Erez Raphael: Thank you. Good morning everyone, and welcome to the second quarter highlights of DarioHealth Corporation. So, when we started this overall journey building a technology that will help digital delight in managing people with chronic and pre-chronic, we were believing user centric solution, as well as data driven solution is something that will help up scale up the treatment in a very challenging environment. Well, if we are looking today in the numbers in the United States, more than 100 million people are either diabetic or pre-diabetic and we thought that the industry will be able to deal with this kind of epidemic, by having an integrated solution that is highly digital that will help scale up this kind of treatment. And when we were looking on the reaction that we have from our customers, and when we are looking on the huge progress that we have made in our unique offering, today, I’m convinced more than ever that we are moving in the right direction scanning up treatment of people with chronic condition. And when we are looking on the overall health care industry and the huge amount of money that is being invested into digital health. Looking back 12 months there is more than $16.5 billion that is invested into digital health companies, and I think it proves that also the market understand that the way to move forward in the health care industry depends a lot on what is called today digital health, and we are proud that we giving investors the opportunity to be part of the digital health industry, also in the public market, there are no two many companies that are trading on NASDAQ or the New Your Stock Exchange that are purely digital health and we are one of them and we are proud to be there. Now, I want to go and review some of the financial parameters that we had this quarter, and afterwards I will go and give you, the investors, some understanding of what’s going on behind the numbers, because I think that this is an important part to understand how we can sustain the growth and even accelerate rate it in the future. And also keep our very unique offering and competitive advantage in the future. So, I’ll start with the numbers of Q2. As you have seen from the press release, we were growing another 17%, comparing to Q1. Year-over-year growth it is 70%. We also managed to show that we have a control over our burn rate. The burn rate reduced by 27% in Q2, comparing to Q2 2017, and we are also very excited because when we see the overall growth moving forward into the rest of the year and we see the focus that we gave investors by the beginning of the year that we’re going to go between 60% to 80%. We feel comfortable that we can make these numbers and this is something that makes us very positive also towards Q3 and Q4. Looking at the gross profit, we are also showing increase of 45% over the second quarter of last year. So, overall, we made an improvement in several financial parameters. And further than that when we are looking on what drives the numbers there are specific changes in the offering that moving us forward into sales that are more relying on services and not just device and disposables and I’m going to elaborate it later, when I’m going to talk about the evolvement of our offering. So, few words about what’s going on behind the numbers. So, first of all, I would like to provide few words about our platform. We call it a digital health platform, but I want investors to understand what exactly we are building and this is kind of a background on what’s going on behind our technology. So, when we are looking on the overall offering and technology, we are looking on four main pillars that are building our platform. The first pillar is the medical device itself, which is our ability to collect data and provide a good user experience to our users also from device perspective. This is important pillar because without this pillar, we don’t have the data, and this is something that makes our users happy more than 25% of our users are holding more than one device. So, this pillar is very important. The second pillar is the application and in fact the application is the channel to the user. The application should be smart on one hand, it is should be simple and it should allow a very fluid interaction between the different elements that we have in the platform. The third pillar is the coaching, and we believe that in order to provide the similar experience to our users, they need also to get there not just a digital support, but they should get also some kind of physical support on top of the platform. It might be a certified diabetes educator. It might a deficient. It might be over a chat [ph], it might be in a more verbal way, but this is something that is integrating with the other pillars of the platform. And the last, and I think one of the more important part of the overall platform is the cloud and the AI that we have that helps integrating all the pieces of the platform. It has all the access to the data and it also helps scale up the treatment in terms of automating the different part of the platform. This part includes more than 10 different components that related to both. It related to rule-based engine to analytics to segmentation engine to messages and content library to clinical coaching programs and also to IoT [ph] integration levels. So, all these pieces are behind the four pillar that helps integrate the different pieces together. So, when we are looking on what we have done in Q2, we manage to launch another version of this platform, what we’re calling the engage platform. We got another clearance in Q1 and the long Q2 we launched our Lightning version after the clearance of the FDA in Q1. So, practically only for mid-Q2, we have a full access to the U.S. market in terms of supporting all the Apple devices, and in Q2 alone we were shipping more than 13,000 products to the market and in fact Q3 is going to be the first full-quarter when we have unlimited access to the U.S. market because of the first clearance of the FDA, which is something that was an important milestone along the way. And other very important milestone is the evolvement of our offering. And the four pillars together allow us selling and offering that is much more beyond the device under disposables. Today, we are signing a membership and the membership includes several elements, were users or self-insured employers are paying for a combination of medical device, disposables, digital content premium features, and also coaching and support that is being provided on the platform. So, if looking on the traditional world, medical devices companies were selling devices and they were selling tools. In our case, we consider our self a digital health company and we’re not selling device and tools, we are selling a solution, that the objective of the solution is to improve clinical outcomes and we are doing it in a way that is being proved by data that we are capturing in our platform and then this point takes me to another achievement that we had in this quarter, which is a submission of multiple papers that we provided to the ADA, to the American Diabetes Association when we were showing that our platform is not just scalable, it also improves clinical outcome and we were submitting data for more than 17,000 users that were on the platform for more than a year. Obviously, we did it in an un-anonymous way, but in general we showed that our platform is one, very sticky, it has a very engagement, very high engagement rate, the churn is very low, and over time by combining these four pillars together, we managed to create a very scalable and very sticky and powerful platform where one of the strength of this platform is that all pillars together are synchronized together in a way that users are feeling an integrated user experience and when we are looking on our competitors we see a lot of competitor’s that are either building the application or building the cloud or building the medical devices. We don’t see too many competitors that have one integrated solution between the service to the software to the device to the application and everything is being done in a very good user experience. So, Q2 provided us an intensive growth in delivering this kind of smart phones that kept our portfolio very unique to other competitors. I want to take you now to the next subject, which is the growth. How we are going to continue the growth? Obviously, we have a very powerful platform. We have different component. And by operating as a software company with different components to the platform it allows us provide different business models and different channels, because at the end of the day, we believe that the future of healthcare is going to be digital. We also believe that we will not be able to do that alone. We believe in partnership, and we believe in strong partners that already have the own footprint into the market. And together we will enable them to transform the businesses to be more digital and this is why we build Dario Engage platform as an open platform where we can get others that are going coaching and delivering product to do it in a more digital way. So, when we are measuring our business, we are always looking into four parameters. We are looking to the number of fuses that we are collecting, we are looking to the lifetime value, we are looking on the clinical outcomes that are captured by the data that we have on the platform and we are also looking on the total data points that we are collecting with our platform because we believe that the future of our business will make it more and more personalized, the more we have data and this is how it will be also reflected in the valuation of our business. So, when we are looking into Q2, we are very proud because we managed to collect more and more users that are members, which means that they are not just buying device and test strips, they are buying the full solution and if we are looking today and the total amount of users that are paying for us, what we are calling [indiscernible] we have more than 65% of our users under this program, which means that the lifetime value is higher. The margins are better and our ability to help them and to improve clinical outcomes is much better. We are selling the membership either from B2C or from B2B, which means that we have more channels, and also when we are looking into the different B2B channel’s we have a few huge opportunities to derive more users in the platform in a more accelerated away. So, number one, we partnered with providers in the United States. We already have a few clinics in the States and shortly also in Australia where we are providing a healthcare professional decision, their business, their ability to utilize our platform in order to coach their patients. Although, we have the coaching capabilities, we believe that scaling up is about giving others the opportunity to digital their services by utilizing our platform and here we have a few clinics we announced in the past of full clinic in Philadelphia. We signed few more contracts with clinics in the United States and there is another very big agreement that we’re going to sign shortly with another big player in North America, where we’re going to help a clinic with tens of thousands of users go to their own population of our platform. Another type of agreements that we are working on is, an agreement with those that are managed care provider, which means that they already have channel to self-insured employer or to other states [ph] in the United States and we help them also provide a model of membership and CMPM to [indiscernible] in fact here we have a very big partner from the United States that we already have an agreement with, and we are working together to sell our combined offering to self-insure employers in the United States. So, this is something that we will also contribute and will accelerate our user growth in the United States. The fact that we have different components help us develop a few different business models, and I wanted to remind you another business model that we have and we are already generating revenue for is utilizing our platform for clinical studies. Here we have a partner that is running diabetic study on top of our platform, which is something that keeps contributing to our revenue. On top of that, we are also working very closely with pharmacy and with wholesalers, especially in the United States in order to help them leverage under the digitalization of our solution, which means that we are developing together models where we can drive physical traffic into the pharmacy because we have a direct access to our users through the application. And the last model that we have that we believe that we generate revenue only next year. This is the data monetization, which means that taking the data anonymously and by exploring the different elements that is related to medication and food. This is something that can be very beneficial to pharmaceutical company. So, now I’m going to summarize by emphasizing the three main elements. So, number one, we made a huge progress in building the platform and make it more and more automated, and make it more and more unique integrating the four pillars. We invested into the four pillars and as we are moving forward, more investments, more percentage of our R&D budget is going into the AI, and into the data, which is where we see the future of our company. Number two, we have a better access to the market because of the third FDA clearance that we got in Q1, and help us launch another version of the product in mid-Q2. And the last one is the multiple components that we built, help us creating multiple channels and multiple business model that can generate revenue to the company from different sources. And for each of the channels that I mentioned, we have at least one agreement that is already up and running, and will be reflected in our financial results as we move forward to the second half of this year. And so that’s to summarize everything. One more important subject is always that’s what I always believe is, how we can get more talents to be part of our business, and because of the progress of the business, and because of the good reaction from the market we’re getting more and more talents, and in the United States our team is growing. We have people that are coming from digital health background, it is getting bigger, and we also announced in Q2 that we have a new Chairman from the company, Yoav who is one of the partners at Sequoia, and he has vast experience building businesses and selling them. So, with the help of Yoav, we are planning to keep transform the way that we are managing this company. So, we believe that in the second half of this year we're going to see a few more key stakeholders that are going to join the company either through the board or through the management of the company. People that are coming from payers [ph] and other areas of the healthcare system in the United States. So, stay tuned with regards to this one. So, with that, I would like to turn the call to Zvi Ben-David, our CFO to give you more detail on the financial results. Zvi, please go ahead.
Zvi Ben-David: Thank you, Erez. On the call this morning, I will review DarioHealth's second quarter 2018 financial results. Starting with revenues, revenue for the second quarter was $2.059 million, an increase of 70%, compared to the second quarter of 2017, and a 17% sequential increase over the first quarter of 2018. This increase was primarily a result of continuous growth of our sales in the United States, as well as sales in Australia and Germany, and product sales to the distributors in the United Kingdom and Italy. As part of our transition from a subscription offering to a membership offering, we have recorded this deferred revenue of $50,000 that would be recognized in the following quarters. Gross profit reached $522,000 in the second quarter of 2018, 45% increase compared to the second quarter of 2017. During the second quarter of 2018, we recorded in our cost of revenues a provision of $128,000 as a write-off of an old cartridge production mold, an additional $71,000 as a one-time expense attributable to the new mold that started to manufacture this quarter our cartridges. Operating loss in the quarter increased by $1.6 million to $5.7 million, compared to a loss of $4.1 million in the second quarter of 2017. This increase in operating loss was mainly due to an expense of $1.78 million recorded in the second quarter of 2018, following the grant of shares to employees and bond members. Net loss increased by $1.7 million to $5.8 million in the second quarter of 2018, compared to $4.5 million in the second quarter of 2017. Now, for financial results. Revenue for six months ended June 30, 2018 was $3.8 million, 72% increase on $2.2 million in the six months ended June 30, 2017. A gross profit of $1.1 million was recorded for the first six months ended June 30, 2018, an increase of 130% or $608,000, compared to gross profit of $466,000 for the six months ended June 30, 2017. Operating loss for the six months ended June 30, 2018 increased by $279,000 to $8.6 million, compared to $8.3 million of operating loss for the six months ended June 30, 2017. Net loss was $8.76 million for the six months ended June 30, 2018, compared to a loss, a net loss of $9.5 million for the six months ended June 30, 2017. The decrease in the net loss for the six months ended June 30, 2018, compared to the six months ended June 30, 2017 was mainly due to the increase in our gross profit and the reduction in our financing expenses related to revaluation of warrants. Before we open the call to questions, I would like to reiterate our initial outlook for 2018. For the full-year, we anticipate revenues to be between $8.3 million to $9.3 million, which will reflect on the midrange, a 70% year-over-year increase in the midpoint of our outlook range. I’ll now turn the call back over to Erez, for some concluding remarks. Erez?
Erez Raphael: Thank you, Zvi. So, as you can see, we made a lot of progress with the numbers. So, obviously the top line and the burn rate, we are improving this parameter, but more important I think is what’s going on in the background of the company building, the portfolio product, which is something that will enable us to keep the growth in the future in multiple channels and also multiple territories. One of the things that I didn't mention is that obviously our company is signing in six countries, we're not relying on one market, and we have few markets where we are operating in. A very important milestone was the clearance – the third clearance of the FDA. So, it was happening in Q1 and we did a launch in Q2. So, practically we have unlimited access to the U.S. market at the moment and our four pillars are already developed. We are just improving them quarter-over-quarter. So, we can make our product more automated and more scalable because this is the way people will manage their chronic conditions in the future, and we believe that we’re going to be one of the leading companies in digitalization of the space. When we are looking on the overall digital health industry, we believe that we managed to create a portfolio that makes us one of the lead companies in this space, billions of dollars are going there, and we also see that if we are looking on last year and also this year, we haven't seen too many IPOs in the space, but we believe that it will change in the future, and we're very proud to give an opportunity to investors to be part of this promising industry of digital health, and give them the ability to be part of this story also in the public market. Our multiple components that create multiple offering with the multiple channels, is something that gives me a lot of believe that we will be able to get hundreds of thousands of users to operate on this platform and eventually proven by data that will improve the clinical outcomes and this is going to be the way that healthcare systems will manage the people with chronic condition. So, I would like to thank you for the interest, and I would like to open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] The first question is from Steve Wardell, Chardan. Please go-ahead sir.
Steve Wardell: Hi, thanks for the question. So, I’m wondering, can you give us some more color on consumer Internet demand that you are seeing for Dario? So, what countries are you selling in on a consumer Internet basis, and how is that going?
Erez Raphael: Yes, sure. In fact, our main countries where we are selling at the moment is: number one, the United States, then we have U.K., Australia, Germany, and Canada, and then Italy. At the moment, we are still selling intensive numbers in a direct-to-consumer way. So, this is something that we believe in the future can be one of the major revenue streams. So, while we are starting to be more and more B2B OEM to the organization, we believe that the direct interaction with the user is extremely important and it’s not just important by giving him a product, it’s also important by being able to sell him and to convince them to own both of the platform. This is why we keep the investment into the B2C. And if we are looking Q1 to Q2, we had a growth also on the B2C self, which is what I'm calling direct-to-consumer. We have multiple challenge that we are using, we were using Facebook, Google, [indiscernible], we are using affiliations, which is something that help us in get a lot of feedback from users, and with the feedback and data that we are collecting this is the way that we are improving the platform and reinvesting into R&D. So, from our perspective the direct to consumer is an extremely important channel, and this is the only way that we can get true feedback from our users. This is the only way that we can confront with the end user and make sure that he is getting what he wants and he is satisfied, and I think that if investors will go into the application still in the United States or other countries and will look into the reviews that we’re getting, you're going to see that our product is one of the leading products in the medical device or the lifestyle industry in terms of user feedback. And I think that this is strength to our intensive investment into the B2C channel because we believe that the future of the healthcare is by interacting directly with users not just when giving them a product, but also when pitching to them the potential product that’s creating engagement in the first stage even before they start the use the product and it makes a lot of sense after they repeat to keep using the product. So, that’s part of our belief, and to your question, we are selling in all six regions in the last quarter through the direct-to-consumer channel.
Steve Wardell: Great, thank you.
Operator: The next question is from Jeff Silver, Berson and Corrado. Please go ahead.
Jeff Silver: Hi. Congratulations on the great top line growth. I have two questions in [indiscernible], one is one the B2B business, as you look at the model and when you think about entering into, agreements contracts with businesses, are these going to be exclusive relationships between you and the business and build will the employees of these businesses, will they have to opt in or is it an opt out procedure for them?
Erez Raphael: Yes. So, to your first question, the answer is no, we're not going to provide exclusivity because we believe that eventually our platform can serve in few different channels and few different ways. So, it is not under exclusivity. So, it is going to be – so it will be an opt out, we believe that eventually once we are getting into an employer, the whole process from the acquisition to the enrolment, everything is going to be something that’s based on our knowhow. We will know how to manage and this is how we would be able to convince users going on the platform, the fact that the employer decided to cover the specific cost for the user, doesn't mean that the user is going to use the platform. So, the acquisitions capabilities, as well as the enrolment in on boarding capabilities is something that we are utilizing as part of the B2B relationship that we’re having. So, it’s kind of B2B2C, where these capabilities are implemented with the B2B partners. So, the employer would say, yes for a specific membership and then the acquisition and the enrollment is something that will be done by us and this is where we believe that we have a very big differentiator comparing to our competitors.
Jeff Silver: I see. Presumably the – what I was referring to in terms of exclusivity, presumably the employer would see no reason to offer more than one solution or one such solution to their employees.
Erez Raphael: Yes, I think that it depends on the specific employer. At the end of the day, we’re living in a world that is more and more connected and employers would like to satisfy their users. So, eventually we see the future in a way that users are signing in or signing up to a good product and eventually the best product is going to win, and if an employee would put pressure on the employer, so eventually that would adopt the additional product. So, I see a process where more than one product will be introduced to employees and they will have to choose between the different product. I don't see employers forcing one product on the employee. It doesn't make sense.
Jeff Silver: I see. Switching around a little bit, in terms of data accumulation and data analysis and then being able to deliver useful analytics to users? How can we think about I mean this is going to be an ongoing process not only of collection, but in terms of what the data reveals, how you package the data, how you deliver the data and that to users? I mean this is, we're very much in the early stages of this globally in terms of how this gets done. I mean how can be assess or understand where you are in the evolution of this process in this business. Are there metrics that you can offer, are there specific data points at this point in time that you are collecting, how does this get managed?
Erez Raphael: So, the way that I would propose investors to look into the data that we’re collecting into the subjects generally is in two ways. One is, the data that we are collecting and how it can help the user itself. First of all, the data is collected for the sake of the user, and this is the most important angle. The more we have data of the more we understand the user and the more we can segment him to a specific bracket and based on the specific segmentation, we know how to offer a more targeted and more unique treatment that depends on his own data. So, practically one solution does not fit them all, and if we have more data and we can segment the user to a more and more defined segmentation than the overall ability to provide the personalized treatment is getting better and better, and so the more we have a personal life solution, the more users are staying on the platform, the more they are improving their clinical outcome. So, papers that we will submit to the ADA is part of this overall progress of the platform of the technology, and the data that we’re collecting and this is something that will reflect in the overall financial numbers and the margins and so on. So that’s one and this is highly related to the user itself and to the membership that we’re selling and overall improvement in all parameters. The other element related to the ability to package data in a way that it can serve other players, and here we’re talking mainly about Pharma companies. We were looking into other players that were selling data and just I want to remind investors that one of the guys that are sitting on our board is Allen Kamer, who came from Humedica, and Humedica was specializing in un-anonymous data, medical data and sell it to pharmaceuticals. We believe that we will need more significant amount of users before we’ll be able to start and monetize on that, but as we move forward, we see somewhere between 70,000 to 100,000 users active on the platform, as the point where we will be able to start really monetize on that. On the way there we need to make sure that every day we are collecting more and more data points. At this point, the company made a decision not to expose the total number of data points that we are collecting, although the company internally has its own KPI’s to analyze the data and to collect more and more data points. So, I think that as we move forward and we’re gaining more and more users, the company will start, expose some of the numbers that related to data collection, and the structure that we’re collecting the data and it will give investors the understanding whether and when this data can be monetized. I can't see us monetizing on the data in the next two quarters. This is something that will take more time, but this is a very concrete strategy that we have and we believe we are going to get them.
Jeff Silver: Thanks. That’s helpful. Are there other databases out there like this in the diabetes world that you can use that you [indiscernible] this a really unique data that’s being collected?
Erez Raphael: So, this is one of – there are others that are trying to collect data. I think this is what makes Dario unique here, and there is another player that have this kind of unique capability is that we’re capturing 100% of data in real time because the nature of our device is captured directly into the smart phone, which means that we're not just collecting every blood group of the measure, we are also collecting the context of the blood group of measure, which means we know exactly what is the GPS location of the person, if he was a reporting food, we know the data stamp [ph] on the food in conjunction with the blood sugar level. So, it’s not just about collecting millions of blood glucose level, it is about the context of the blood glucose level that is growing in conjunction with medication, food and other elements that are collected by the foreign operation system. So, if we are looking not just on the blood glucose, but also on the context of the blood glucose, I think that a few of these players that are doing what we are doing and also because the stickiness of our product and because of our ability to collect – to have a very engaging product, I believe that in terms of data collection we’re one of the best in the market. That’s my honest judgement here.
Jeff Silver: Just, sorry one more question if I may. The last question from me. I understand the value of the ecosystem, and the approach to the market, but I always like to enquire about technology advancements because for so many entities that are working on this problem from as you indicated before from one perspective or another, have you seen anything in the non-invasive capture space that is either interesting to you or potentially poses a threat and sort of the use of light to take greetings. And I know that you’re constantly vigilant with respect to what’s going on out there in terms of the technology, have you seen anything?
Erez Raphael: It’s a full. So, you know, the non-invasive subject and also looking on the overall platform that we have in the four pillars from the monitor itself to the application, to the coaching, and also to the cloud, and the segmentation and personalization that is data driven, we believe that eventually the focus is together are going to provide some kind of an answer to the scalability of the overall disease. So, practically if we’re looking in our business five years from now, it's about doing the best personalized treatment, the best segmentation, data driven of a lot of users, and the fact that we have the monitor helps us to collect a lot of data and do the right segmentation and do it better than anyone. Obviously, we are in touch with a lot of companies that claim to have a non-invasive and different technology. Nothing has been changed since like three months ago, six months ago with regards to break-through in this kind of area. If I will have to put my next dollar into the R&D, it is probably going to go into the non-invasive. I don’t believe that this is where I will be able to provide the best return to our investors. I do believe that data and segmentation would help us provide a better value. And I do believe that eventually, especially when we are talking about type II, one solution does not fit them all. There are different types of type II, and eventually I don't believe that everyone [indiscernible] three times a day or once a day, it depends on the specific offer of the user. And I think that we can offer our users in the future some kind of semi-noninvasive by the fact that we will segment them into the specific situation and we will be able to tell them, this is the time where you need to check more because you want to check how specific food impacts your body. So, eventually, I haven't seen some break-through in the non-invasive, and I do believe that our segmentation would be able to provide some kind of solution to our users that will not have to prick their finger a 1 million times a day. By the way, the glucose monitoring industry for the last 30 years of 40 years educated people to pick their finger as many times as possible with every day because they were making money from strips, I think – and this is something that by the way our data prove it. It is not always about pricking the finger [indiscernible] and other parameters that will impact the chronic condition of the patient, and pricking the finger is one of them, but it’s not the only one. And I believe that by improving our software technology we will be able to propose our users more non-invasive approach that is driven by high-end data. That’s my belief over the future. The traditional market is a lot about monitor and everyone is looking into let’s find the next sensor that is non-invasive. It might be important for type 1 to have the next batch or whatever, but for the mass population, the 25 million people that are diabetic in the U.S. market this is not something that’s going to solve the problem.
Jeff Silver: Thank you. Good luck.
Erez Raphael: Thank you.
Operator: [Operator Instructions] The next question is from Kyle Krueger, Apollo Capital. Please go-ahead sir.
Kyle Krueger: Yes. [Indiscernible] shareholders have a couple of big picture questions for you, have you guys disclosed at any point, what level of revenues would be necessary in order to achieve cash breakeven and I realize there is a whole host of factors that go into that. You know money spent on customer acquisition, R&D, et cetera, et cetera, but can you give us some approximation as to the timing and the level of revenues required to get to cash breakeven?
Erez Raphael: Hi, Kyle. Thanks for the question. At this point, this is something that we did not disclose to the public market. There are a lot of elements that are related to that. I think that one of the things that you should look at this report and realize is that, we do have control on our burn rate and it depends on a lot of parameters when is the breakeven point, but at this point, we didn’t disclose the exact point where we’re going to be breakeven. We did provide a focus to the market that we’re going to go in 2018 between 60% to 80%, and at this point, we prefer not to provide this kind of additional guidance to the market. We might reconsider it as we are moving into Q3 and Q4. Our business is relatively young. We are a fast-growing company, and we have a lot of opportunities out there and a lot of type of partnerships out there, and we feel that because of the multiple parameters, this is the kind of the crowd that we want to keep close to us, and we don't want to expose it yet for several reasons. Some of them are competition and so on. So, we feel that this is something that will be disclosed with the public in the future quarters. Obviously, the way that we are thinking about our business and also because of the low valuation of the business we are giving a lot of thought about our burn rate. We understand that we are not a typical Internet company that can burn money like hell. So, this is something that we are considering very closely. This is why we decided, part of the reason that we decided our platform should be open and to get partners to help us sell their platform in order to protect our brand name [ph], and we understand that this is something that concerns investors and we are giving it a lot of thought. I just want to remind you that we as the management are also investors into the business. We’re investing every month and every quarter. So, the burn rate is something that also important to us. We feel more comfortable to share with the public in next few quarters, but not today.
Kyle Krueger: Yes. Thank you for that. And one follow-up big picture question from me, and congratulations on the reduction in burn in the most recent quarter in conjunction with 70% revenue growth that’s pretty fantastic, particularly as it relates to being good steward of your precious cash resource, but the question is, it looks like you’ve got approximately two quarters to three quarters of cash left on the balance sheet at the current burn rate, how do you finance the company beyond the next two quarters to three quarters, what’s the plan for that? Thank you.
Erez Raphael: Yes. Thanks for the questions. So, at this point, I cannot comment about a specific plan with regards to raising or not raising money. One of the things that I can tell you is that number one, the digital health industry is a growing industry and we see a lot of private companies that are raising money in a multiple of 20 or 50 [indiscernible], we are trading somewhere around I think 2.5 or 3 on our self. So, you can charge yourself whether this is the right valuation for the company. That’s number one. Number two, I think that as we move forward, and this is something that we have shown in the last year is that more and more institutions are interested in our business. Okay. So, we have a few institutions that invested in the last two [indiscernible] into the business and when we are thinking about our situation, we want to make sure that we have more fundamental institutions believing in our business because we believe that that’s the way that we can build the value in the public market. So, if someone that is seeing investors very frequently because we're pitching the store and we’re trying to get more and more believers in our business, and I can – the last 6 or 12 months given the performance of the company and given what’s going on other, we feel more and more positive feedback from fundamental investors that are saying, we believe in your past we believe that you are going to change or to disrupt the market. So, we want to be part of this story. So, there are more and more that want to be part of this story and I believe that eventually we know how to make the right decision when cash would be needed in order to keep fund the company. At the same time, I want to tell you that when we are thinking about our business we’re trying to find the quickest path to take the business to profitability. So, as an investor on one hand you might say, oh these guys are going to raise more money to more money, on the other hand, I advise that you will also think about, who is the profile of the investor that in the future might invest into our business. And I think that the experience that our Chairman, Yoav Shaked, that is one of the partners at Sequoia. And also, myself in the last five years and also Zvi Ben-David, who know how to navigate the business and if needed to raise money we will do it the right way from the right investors. So, that’s our experience and I believe we are going to do it the right way. I think, from an evaluation perspective, we are a kind of in the money time because we feel that we are in a situation that given what is going on in the private market things need to be changed and we believe we’re in the right path to do that, especially because of the fundamental of the business. So, the good fundamental gets more good interest from good investors that will be able to change the destiny of this company, and we’re heading to the right place. I’m sure.
Kyle Krueger: Thank you very much for that.
Operator: There are no further questions at this time. I’d like the turn the floor back over to Mr. Raphael, for closing remarks.